Operator: Good morning. My name is Jodi, and I will be your conference operator today. At this time, I would like to welcome everyone to the Minerals Technologies Inc., Third Quarter 2012 Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to Mr. Rick Honey, Vice President of Investor Relations. Please go ahead, sir. 
Rick Honey: Good morning, and welcome to our third quarter 2012 earnings conference call. Joe Muscari, Chairman and Chief Executive Officer, will begin today's call by providing some perspective on our third quarter performance. He will be followed by Doug Dietrich, our Chief Financial Officer, who will review our third quarter financial results. Before we begin, I need to remind you that on Page 8 of our 2011 10-K, we list the various factors and conditions that may affect future results. Statements related to future performance by members of our management are subject to these cautionary remarks and conditions. 
 Now I'll turn the call over to Joe Muscari. Joe? 
Joseph Muscari: Thanks, Rick. Good morning, everyone. Our financial performance for the third quarter continued to be strong as we mark the fourth consecutive quarter with earnings per share higher than $1, as we came in at $1.05, 11% better than in 2011. Our operating income ratio improved 13% over the prior year to over 11% of sales. And our return on capital for the quarter continued to show improvement, increasing 6% over the prior year to 8.8% on an annualized basis. 
 Our cash flow also remained strong as we generated $40 million. Much of the contribution in profit came from a record quarter in our Specialty Minerals segment. Performance Minerals, our operating unit, comprised of the mining operations and Specialty PCC, continued to be a strong contributor to this through higher productivity, lower energy cost, good expense control, as well as pricing improvements. Our Paper PCC business also improved profitability over the prior year through improved performance in North and Latin America. We achieved this high level of performance despite a lower revenue environment because of our intense focus on continuous improvement in all facets of the company through our strategic and operational initiatives. 
 Looking at the longer term, what really stands out is the momentum we are gaining in our 2 major growth strategies, geographic expansion and new product development. We just signed a 10-year agreement with Sun Paper to build a 100,000-ton satellite PCC facility at a paper mill in Shandong Province owned by Sun Paper, the largest privately-owned paper company in China. Recently, I had the pleasure of meeting Mr. Li Hongxin, Chairman of Sun Paper in China, where we signed a long-term relationship pact focusing on broader technical and process cooperation, in addition to the new satellite supply contract. This agreement is integral to our geographic expansion strategy where China is expected to grow its paper production at a rate of 5% to 7%. Our FulFill platform of high filler technologies continue to make progress. During the third quarter, we signed commercial agreements with 4 paper mills for our E-325 series. I'll go into more detail in a moment. 
 Also, on the new product development front, we launched the new, faster laser measurement system for the global steel industry. However, on a more cautionary note, we remain concerned about the economic conditions in Europe, as well as the softening worldwide steel industry, which is putting significant downward pressure on our Refractories business. 
 As you can see from this chart, our earnings for the last 4 quarters are on a high-performance track, up more than $1 per share. It should be mentioned that we were actually able to overcome the revenue and income loss from last year's shutdowns through new satellite volume, revenue increases and other volume increases. 
 Our return on capital also continues to improve and at 8.8%, we are at above our cost of capital and 6% above the third quarter of 2011, when our ROC was 8.3%. I'd like to take a minute and -- to look at our financial performance so far this year. For the first 9 months, the company has performed at the highest levels in our 20-year history. Our earnings per share went from $2.72 for the first 9 months of 2011 to $3.17 today, a 17% increase. And cash flow increased by 13% over the same period, and on a per share basis, the cash flow increased by around 16%. 
 Let's take a moment and look at how we've been executing our organic growth strategies of geographic expansion and new product development. I mentioned the Sun Paper contract earlier, but this long-term contract for 100,000 tons of coating grade PCC is a major accomplishment for our Paper PCC group. And this is noteworthy because it puts our strategy of geographic expansion, which is focused highly on Asia, especially China, on a performance track to meet the 2015 revenue targets for Asia that we set in 2010. It's also a breakthrough for us in that it's our first non-APP, Asia Pulp & Paper, contract in China. As you know, or many of you know, we have been prevented from selling PCC in China due to our 10-year contractual requirements with APP. 
 In addition to Sun Paper, our team in Asia is actively engaged with 14 other paper mills in China where they are demonstrating the PCC value proposition, which delineates the benefits of PCC over other minerals for filling and coating paper. We're focusing on Asia and China because that fundamentally is where the growth is. 
 Paper production in the region continues to grow at a high rate, and we believe we have the best technology to benefit papermakers there. We also have 3 satellite facilities under construction in Asia, 2 in India and 1 in Thailand. These 3 satellites will add 150,000 tons of additional capacity and will be operational in the next 2 quarters. 
 During the last call, we announced 3 new FulFill commercial agreements that occurred in July. One of these was with a subsidiary of the Mondi Group at a paper mill in Slovakia, the second was also in Europe and the third was in Thailand with Double A Paper. 
 Since the last call, we've added one more with the Mondi Group in South Africa and we are close to another one in South America, where we have been running successful trials for the past 30 days. Our Performance Minerals group also continues to make inroads with its new talc antiblock products, as well as our new titanium dioxide extender products. Refractory business has also been successful in the new product development area. During the quarter, Minteq, the operating division for Refractories, introduced the new fourth-generation LaCam laser measurement system for use in the worldwide steel industry, that is 17x faster than the previous version. This new technology provides the fastest and most accurate laser scanning for hot surfaces available in the marketplace and provides the differentiation for us to remain as the technology leader in steel mills. 
 You're familiar with this slide, which tracks the progress of our FulFill programs marketing and engagement activity with paper mills worldwide in deploying the high filler technology. As you can see, we now have 6 agreements with paper mills in Asia, 2 in Europe, 1 in South Africa and 1 in the U.S., for a total of 10. 
 Looking at the chart from left to right, we have 14 paper mill customers with whom we are introducing the FulFill value proposition. Three mills have agreed to trial, 5 are in the process of validating the technology, and 2 have validated and are moving closer to commercialization. Our long-range target is to develop the product with all 35 paper mills that will benefit the most from the FulFill technology. 
 It's important to note that each of these paper mills is different, requiring different degrees of tailoring and trial time to demonstrate product efficacy. But we continue to make progress, but the technology must be validated on various paper grades and paper machines, using different varieties of pulp. So it's difficult to provide a clear timeframe and pathway to acceptance. 
 In past calls, I've addressed the importance of our 4 key initiatives that have been the catalyst for change at Minerals Technologies. As we examine our performance so far in 2012, it's clear that each of these have come together in a very integrated way to bring the company to a higher financial performance track. We've also become a stronger operating company with greater focus and discipline, and most importantly, the active engagement of all employees in continuous improvement. So far this year, employees have generated over 7,000 ideas, and we've implemented more than 4,000 of these. 
 Our product development pipeline is healthy with more than 60 new product ideas in various stages of development, and our operational excellence Lean initiative, which is embedded throughout the company, enabled us to bring our productivity in the quarter to a level 9% higher than 2011. This was brought about through executing over 850 Kaizens, which are focused employee group events designed to eliminate waste and improve quality. 
 Expense reduction also remains a point of focus and we continue to find ways to do more with less. Our safety performance, most importantly, is also now at a level never before realized in the company as our loss workday rate of 0.4, or 0.4 accidents per 100 employees per year, is at the lowest level in our history and reflective, again, of the involvement and commitment of our employees. 
 On the M&A front, our corporate development team, as I related before, continues to seek out, research and engage numerous opportunities. Our objective, as you know, is to find minerals-based companies where we can leverage our expertise in crystal engineering, as well as move to end markets such as energy, environmental or consumer products, which would serve to help reduce our cyclicality. 
 Now I'd like to turn it over to Doug Dietrich, who will provide a detailed look at our financial performance. Doug? 
Douglas Dietrich: Thanks, Joe. Good morning, everyone. I'll take you through our consolidated and business segment results for the third quarter. I'll highlight the key market and operational elements of our financial results in each major product line and comment on comparisons to both the third quarter 2011 and sequentially, to the second quarter of 2012. 
 As Joe mentioned, we reported earnings per share of $1.05, which represents an 11% increase from the $0.95 per share recorded in the third quarter of 2011, excluding special items. Our reported earnings last year were $0.87 per share as the company recorded a noncash special currency translation charge related to the sale of our majority ownership in the company's refractory operations in Korea. 
 Our solid performance this quarter was achieved due to record quarterly earnings from our Specialty Minerals segment. The Performance Minerals business continues to operate on a very strong track, and profits also improved in Paper PCC. These strong earnings were accomplished despite weaker-than-expected results in the Refractories segment and the continued weak market conditions in Europe, where total company sales and operating income were down 14% and 37%, respectively. 
 Our consolidated sales decreased 5% or about $12 million from the prior year. This decline was primarily due to foreign exchange, which had an unfavorable impact of $11.6 million. In addition, sales were affected by the permanent and temporary mill shutdowns in Finland and France in the fourth quarter of last year. 
 Excluding foreign exchange and these closures, our underlying sales are up 2%. Though our sales are down 5%, our cost of sales decreased 7%, resulting in a 4% increase in gross margin. The margin improvement occurred in all business units, but most significantly in Performance Minerals. Expenses were slightly below last year and represented 10.8% of sales. This resulted in operating income of $27.8 million, an increase of 9%, and represented 11.1% of sales versus the 9.8% last year. The improvement on operating income was due to increased pricing, which more than offset higher materials costs in Specialty Minerals, continued productivity gains in all business units, lower energy costs and good expense and cost control. 
 Our return on capital for the quarter was 8.8% on an annualized basis, which is higher than the 8.3% we achieved last year. In the quarter, we generated $40 million in cash from operations, of which $14 million was used for capital expenditures. Cash and short-term investments were approximately $462 million at the end of the third quarter. 
 Sequentially, our consolidated sales decreased 1% and our operating income performance was better than expected. As we indicated on the last call, we expected Paper PCC profits to be similar to second quarter levels. However, profits improved by approximately 10% due to better-than-expected performance in Europe. 
 Our Performance Minerals business was in line with our expectations and continues to operate at a high level. The Refractories segment performance was lower than expected as its operating income declined 17%, which was more than the 10% to 15% decline we'd anticipated on our last call. In total, our third quarter results were better than expected and reflect continued strong financial performance with earnings in excess of $1 per share for the fourth consecutive quarter. 
 This chart shows where the margin improvement is coming from. Margins have increased over last year in both Paper PCC and Performance Minerals. However, they've decreased slightly in the Refractories segment. The increase in Paper PCC was primarily due to higher profitability in North America and Latin America due to productivity improvements, lower operating costs and overhead expenses, which helped to offset the effects of lower European volumes. The improvement in Performance Minerals was due to lower utility costs, higher pricing and continued productivity gains being driven by our operational excellence program. 
 In Refractories, lower raw material costs and continued cost and expense control programs were more than offset by the declines in refractory product, equipment and metallurgical wire sales resulting from the weakening steel market conditions in both North America and Europe. 
 This chart shows the changes in North America and Europe over the prior year in our main market segments. Uncoated wood-free paper production was down about 1.6% in North America and around 2.8% in Europe. The construction market in the U.S., which includes both residential and commercial markets, was up over 7% in the third quarter versus the prior year. 
 Automotive unit production in North America also continues to be strong with production rates up nearly 16%, but dropped significantly in September from August levels. Steel production in North America decreased slightly from last year as third quarter average steel capacity utilization rates in the U.S. declined 1% over last year to approximately 75%. 
 Sequentially, however, steel capacity utilization rates declined 5% from the second quarter, with the majority of this decline occurring in September. Rates have declined even further through October and are currently around 68%, which is the lowest level in approximately 2 years. 
 In Europe, you can see that the construction, automotive and steel markets continue to reflect the soft economic conditions as each are down between 3% and 9%. Here's a table of our regional revenue and operating income changes over last year. Let me highlight a few areas. The figures on the lower right corners on this chart are shown excluding the effect of foreign exchange. You can see the impact that Europe and weaker foreign currencies are having on our overall sales and operating income. In North America, we've exhibited strong operating income performance despite flat sales. This improvement is a direct result of our operational excellence program, diligent cost control, price increases and solid supply chain sourcing decisions related to raw material and utility costs. 
 You can also see the significant underlying growth that's developing in Asia and Latin America. And in total, we've managed to improve our operating income by almost 10%, despite a 37% operating income decline in Europe. 
 Let me give you some perspectives on the specific factors that are affecting our year-over-year revenue. As you can see, the paper mill closures in Europe had a significant impact on our sales over last year. In addition, several recent steel mill closures and lower equipment sales have also put downward pressure on our top line. However, we've been able to offset these declines with new satellite startups, price increases, base volume growth and share gain in our Specialty PCC and talc product line, as well as increased volumes from our existing Paper PCC sites. In total, these initiatives have generated over $9 million in revenue growth this quarter. 
 You can also see the significant impact that currency is having on our top line, and on its own accounts for almost all of the year-over-year sales decline. I thought I'd show this chart to provide some insight into our true underlying sales growth, which may not be readily apparent. 
 On this slide, I break out our profitability improvements by region. As I mentioned earlier, our operating income ratio remained above 11% this quarter, approaching the 12% operating income target we set for ourselves to achieve by 2015. The company continues to overcome the weak economic conditions in Europe and improve operating margins over last year. North America drove about 2 percentage points of the improvement due to strong earnings in Performance Minerals and increased profitability in Paper PCC. 
 Europe was affected by lower PCC volumes and wire sales, as well as fewer equipment installations. In addition, foreign exchange affected Europe's profitability. Asia increased primarily due to improved profits in our Japan Refractories business, as a result of lower raw material costs in the region. These increases were offset by startup costs associated with our new PCC satellite operation in India. 
 Let's go over the financial results within the Specialty Mineral segment. The $22.6 million of operating income is the highest level in the segment's history, exceeding the previous record set last quarter. Segment sales decreased $5.5 million or about 3% from the prior year to approximately $166 million. Foreign exchange had a $7.4 million unfavorable impact on sales or 4%, and the paper mill closures in Europe affected sales by an additional 4%. 
 Excluding foreign exchange and these shutdowns in Europe, segment's underlying sales grew 5%. Within the segment, Paper PCC sales, excluding the shutdowns and foreign exchange, grew 7%. Volume declines in Europe were partially offset by new volumes from 3 satellite facilities that came online over the past year, 1 in Superior, Wisconsin, and 2 in India, and we expect to have 3 additional satellites operational, 2 in India and 1 in Thailand, by the first quarter of next year. 
 In other segment product lines, Specialty PCC sales were up 2%, talc sales increased 5% and GCC sales were down 3%. Segment operating income in the third quarter increased 17% over the prior year, driven by a 27% increase in Performance Minerals, the 10% increase in Paper. As I mentioned earlier, the improvement in Performance Minerals was due to lower utility costs, higher prices, improved talc volumes and continued productivity gains, the increase in Paper PCC activity and good expense control. In addition, we're generating profit contribution from our new satellite facilities and the FulFill E-325 program. Overall, segment operating income represented 13.6% of sales in the third quarter compared to 11.3% last year. 
 Sequentially, segment sales were 1% below second quarter levels. Despite the decline in sales, operating income increased to 2% and was higher than we had anticipated in the last call. Paper PCC profits increased approximately 10%, while we anticipated similar performance levels through the second quarter. This was driven primarily by better-than-expected performance in Europe. The Performance Minerals business results were in line with our expectations. 
 Looking forward, fourth quarter North America paper production is projected to be down 4% compared to the third quarter, and European paper demand is expected to be down about 2%. Current indications are that fourth quarter volumes and profits in our Paper PCC product line will be down from the third quarter level in both regions. In addition, lime cost increases, that we will absorb in North America in the fourth quarter, will not be recovered until the first quarter of next year. 
 In Performance Minerals, we expect profits to decrease from the third quarter as the normal seasonal drop in construction activity will reduce volumes in all product lines. Overall, we expect that fourth quarter operating income for Specialty Minerals to be about 10% lower than the third quarter. This decrease is consistent with the typical drop we see given the seasonality of our end markets going into the fourth quarter. 
 Here are the components of the improvement in the Specialty Minerals operating margin over last year. As I mentioned earlier, segment operating margins increased to 13.6% from 11.3% last year. Volume declines in Europe associated with paper mill and machine closures impacted segment margins by slightly more than 1 percentage point. Currency also had a negative impact of more than 0.5 percentage point. Sales from our new satellite facilities, FulFill deployment, improved product mix in Performance Minerals and price increases improved margins by 2 percentage points. 
 Finally, productivity improvements in both Paper PCC and Performance Minerals, lower utility costs and good expense control also added another 2 percentage points to the margin improvement. 
 Now let's go through the results within the Refractories segment. Sales in the third quarter were 7% lower than the prior year. Foreign exchange accounted for about 5 percentage points of this decline. Refractory product sales were down 9% in North America due to the closure of RG Steel's Sparrows Point and Warren mills in early June, and to lower volumes from our non-steel refractory product line. 
 Europe refractory sales declined 10% from last year as a result of 3 steel mills shutdowns, 2 at ArcellorMittal and 1 at Synsil, significantly lower equipment sales and the impact of foreign exchange. Metallurgical wire sales decreased 7%, primarily in North America, due to product mix. 
 Operating income for the segment decreased 6% in the quarter, $7.2 million from $7.7 million in the prior year. The profit decline was due to the combined effect of lower refractory, equipment and metallurgical wire sales, and to the impact of foreign exchange, which more than offset the benefits derived from our lower NGL [ph] cost and improved productivities. 
 The segment operating income ratio was 8.5% of sales, which was the same as last year. Sequentially, Refractories segments -- the Refractories segment was impacted by the weakening global steel market. Steel production in the third quarter was down 4% in North America and 11% in Europe from second quarter levels. 
 Segment operating income decreased 17% in the second quarter, which was more than the 10% to 15% we had expected on the last call. The decline from the second quarter occurred primarily in our North America Refractories operations due to reduced volumes and an unfavorable product mix. In addition, our metallurgical wire product line had reduced profitability in both North America and Europe. 
 Looking forward, we anticipate continued lower refractory volumes in North America due to the continued decline in U.S. steel utilization rates through October. In addition, a number of customers have delayed equipment orders as their capital spending has been severely curtailed. Equipment products are some of our highest margin sales and the fourth quarter is usually the strongest sales period for this product line. 
 Given the lack of orders from our customers this year, profits from equipment sales will be over $2 million lower than the fourth quarter of last year. As a result, we expect that our fourth quarter operating income for the full segment to be 15% lower than the third quarter and 40% lower than last year. 
 This chart shows the changes in the Refractories segment operating margin, and the third quarter ratio, as I mentioned, was 8.5%, which was the same as last year. Refractory volume declines, significantly lower equipment sales and the weaker euro negatively impacted margins by over 3 percentage points. These factors were offset by lower raw material costs, primarily magnesium oxide, improved productivity levels and cost and expense control programs. These items contributed over 3 percentage points to the margin growth. 
 These charts illustrate our working capital and cash flow trends. Our total days of working capital increased slightly to 58 days. This increase was mainly due to higher inventory levels in the Refractories segment. Our cash flow from operations is approximately $40 million in the third quarter as compared to $36 million last year, and our capital investment for the quarter was $14 million. 
 Let's take a look at where we are so far this year compared to 2011. Sales were off for about 4% from last year, primarily due to foreign exchange. We've also faced weak market conditions in Europe, which has reduced sales volumes and resulted in various paper mill and steel mill closures that have put pressure on our top line. Despite these challenges to our topline growth, we've continued our focus on executing our major strategic initiatives and have improved the performance of all of our businesses. 
 New satellite contracts, new product launches, productivity improvements, cost control and solid supply chain sourcing decisions around raw materials and energy have led to this improvement. We continue to treat capital as a scarce resource, and we remain focused on improving working capital efficiency. As a result, thus far, we've generated record operating income and earnings per share, and also improved our return on capital and cash flow from operations. In total, our performance resulted in the strongest 9 months in the company's history. 
 As I mentioned earlier, we had a strong financial performance in the third quarter with earnings of $1.05 per share. This represented the fourth consecutive quarter of earnings in excess of $1 per share and is highlighted by the record earnings in the Specialty Minerals segment. 
 Looking to the fourth quarter, we expect Specialty Minerals segment operating income to be about 10% lower than the third quarter levels, which is a typical seasonal drop. Profits in our Paper PCC product line will be down from third quarter due to lower product demand in North America and Europe. We'll also absorb higher lime costs in North America in the fourth quarter, which cannot be passed through to customers till the first quarter due to contractual limitations. 
 In Performance Minerals, we expect a typical seasonal volume decrease as the fourth quarter is the low point of demand in the year for our end markets. In our Refractories segment, we expect profits to be 15% lower than the third quarter and 40% below last year, due primarily to the significant drop in our high-margin equipment sales. We also anticipate a decline in both refractory volumes and metallurgical wire sales given the recent drop in U.S. steel capacity utilization rate to below 70%. 
 In Europe, the steel market remains soft, which will continue to impact our Refractory business there. Further deterioration in global steel market conditions remains a concern through the fourth quarter and could add further downward pressure on our Refractories segment sales. Overall, we expect total company earnings for the fourth quarter to be 10% to 15% lower than the third, between $0.90 and $0.95 per share. Now let's open up to questions. 
Operator: [Operator Instructions] Your first question comes from the line of Andrew Gadlin from CJS Securities. 
Andrew Gadlin: I was wondering if you talk about some of the consolidation that's happening in the paper market, potential for seeing some of that in the steel market as well and how that could impact you? 
Joseph Muscari: Okay. D.J. Monagle is with us. I'm going to ask D.J. to give us an overview of the paper industry, both here and in Europe. D.J.? 
D. J. Monagle: Yes. So, Andrew, we see the trend continuing, but we don't see anything imminent in both North America and Europe. Our bigger concern right now is with the North American companies that have been in bankruptcy and are getting -- developing plans to come out of bankruptcy. So I don't think that there's going to be a lot of shifting around that's not associated with those bankruptcies. So I would say our -- the general, we think it's pretty stable right now, and the caveat is that these -- how these companies emerge, in particular NewPage, Catalyst is another one. There's a couple of other smaller ones that are out there. How they emerge and the impact of that on the industry will be the biggest bell weather. 
Joseph Muscari: I'm going to ask Han Schut, our Head of the Refractories Group, to comment on the steel industry as he sees it today. 
Han Schut: Yes. Thank you, Andrew. So if you look to the steel industry in general, we see overcapacity. And of course, we see an unbalance between demand and supply, and that's primarily driven by China. So we see the major players working on their asset optimization. For instance, Thyssen has put assets in Brazil and in North America up for sale, and we see also, of course, some customers going bankrupt like we have seen in -- with RG Steel, which was a major account for us. So overall, we see a reshuffling between the players and the major players cutting back on their supply as part of the supply discipline to bring demand and supply in balance again. 
Andrew Gadlin: And as you -- and this, I guess, is more in relation to the Paper segment. What's the ability for some of these new contracts to replace some of the volume you're losing from plants that are going out of business or consolidating away? 
Joseph Muscari: So, Andrew, I -- between those new contracts that are coming online and the growth that we see coming from our FulFill technology, we think that it will be a net growth proposition for our business. And, Andrew, as Doug pointed out on his slide, you get a sense of it in terms of if you exclude the exchange impact on us, we actually were able to hold ourselves to the same level of last year in spite of the shutdowns that we're affected both in steel and paper, but particularly on the paper side. And keeping in mind what I mentioned in my remarks, we've got new satellites coming on over the next several quarters that are going to, again, contribute to higher volumes for us. 
Operator: Your next question comes from the line of Jeff Zekauskas from JPMorgan. 
Silke Kueck: [indiscernible] for Jeff. A couple of questions. On the refractory side, when I look at the Refractory business on a sequential basis, it looks the sales were about flat and the EBIT was about $1.5 million lower. Is that a function of raw materials being up sequentially? Or is it a function of a different ratio of like high-margin equipment sales? Or -- what's behind that? 
Douglas Dietrich: Yes, Silke, it's the lower equipment sales that we saw in the third quarter versus the second, but it's also some of the product mix I mentioned. The refractory product mix was a little bit different in the third quarter. Some of our lower margin products and some of our non-steel refractory volumes were down compared to the second quarter, so it's more of a mix issue. 
Silke Kueck: Okay. Secondly, I was wondering whether you could quantify the benefit -- or the energy benefit in the Processed Minerals division. 
Douglas Dietrich: Sure. So 2 parts to that: One is just, in general, lower energy compared to last year. But I think a bigger part of that is the kiln conversion that we made in the Performance Minerals business from Number 6 oil to natural gas, that we generated some savings this year from that. And about, let me give you an idea at kind of today's oil prices, we expect probably $2.5 million to $3 million per year of savings just from that one conversion. 
Silke Kueck: And how many -- from one conversion. And how many kilns could you convert, like what's the absolute opportunity? 
Douglas Dietrich: Well, for now, that's the current opportunity. We've done that one kiln, that is the capacity that we need to both sell lime and for our Specialty PCC production. But as lime grows, there could be other opportunities. 
Joseph Muscari: And could I -- we have Doug Mayger with us here, and maybe Doug could comment on this a little bit as well, Silke. Because we're also looking at -- we have 3 or 4 kilns, we have 4 kilns at the Adams site, and we're actually looking at some new market opportunities as one of the aspects of converting some of these kilns over, that could get us into markets where today, we may not be as competitive. Doug, could you comment on that a little bit? 
Douglas Mayger: Yes. So for some of the -- certainly, some of the market opportunities we have are excellent. We're in the process of doing an expansion today that should come online March of next year. It may, at some point, require us to do some more kiln conversions later on. But as Joe does mention, we have 4 kilns in total, 1 of them is converted today. 
Silke Kueck: Okay, that's helpful. And lastly, there was another quarter of very nice operating cash flow and free cash flow generation. And I don't know, maybe by now, there's about like $21 a share of net cash on your balance sheet. So various companies have decided to do something about it. So Lime in Dallas [ph] do now get another special dividend, and C.S. [ph] is buying back a lot of shares. And I guess, I was just wondering whether over time, is there no acquisition benefits, whether any of that cash will be given back to shareholders. 
Joseph Muscari: Well, it is something that, as I've mentioned in previous calls, we closely take a look at, Silke, from the standpoint of shareholder return. And particularly, as we look at the acquisition side, if that's not coming on fast enough and our ability to continue to generate good cash flow, which, as we look forward, is still very, very strong, so that is something we're going to look at further. I can't go into any specifics right now other than to say it clearly is on our radar screen. 
Operator: Your next question comes from the line of Rosemarie Morbelli from Gabelli & Company. 
Rosemarie Morbelli: So the benefit on the energy, this is from North Adams, right? 
Joseph Muscari: Yes. 
Rosemarie Morbelli: And when you say that there are another 3 kilns that could be converted, are they in the same locations or are they somewhere else and for different -- used for different purposes? 
Douglas Mayger: Rosemarie, they're in the same location at North Adams. And what we do is we have to cycle them between each other for rebuilds, but ultimately, we have operating permits that allow us to run all 4 at the same time. 
Joseph Muscari: Yes, I think it's important to note there, not all 4 are running today. 
Rosemarie Morbelli: The potential is really for a total of something like $12 million in annual savings. And would you convert those only because if -- because of expansion? You would not convert them even if operations remain at today's level? 
Joseph Muscari: To utilize all 4, we -- and this is why I touched on the fact that we are looking at new markets or expanding our capability in existing markets. So the savings comes from a base of 2 kilns that had been running. So 2 had been idled. They're maintained in a way that we can turn them on fairly easily. But as Doug was touching on, we're actually -- when he mentioned March, we're actually looking at an investment that will allow us to increase our capacity for Specialty PCC, which is a very high margin product for us that is capacity constrained and there's some good opportunities in North America. So the upside around what we've done on the kiln conversion really manifests itself as new products and new sales with a commensurate profitability from it. Doug, do you want to add anything to that? 
Douglas Mayger: No, I think Joe hit all the points, but there is good opportunity for us not only in North America, but Asia also. 
Rosemarie Morbelli: So when you say new markets, do you mean new geographies or do you mean actually new markets outside of construction? 
Douglas Mayger: It's a little bit of both. So certainly, automotive sealants would hit the mark. Certainly, there would be opportunity in consumer markets and in some areas like the construction area also. 
Rosemarie Morbelli: And talking about the construction, have your results been helped -- I mean, I know revenues were up 7%, I think, if my memory serves me right. Is that from extended market share, or is it from the fact that you are already seeing some pickup on construction? 
Douglas Mayger: It's a little bit of both. It's market share, it's some growth, so certainly, we've seen some growth on the East Coast here. On the West Coast, it's been relatively flat, but we've had good penetration in the market share piece. 
Rosemarie Morbelli: And if I may ask one last question, well, actually, 2. What is behind the last [ph] cost increase? And then since steel production seems to be growing only in China, while it is shrinking everywhere else, at least in Europe and North America, what is your presence in China and how quickly can you increase it? 
Douglas Dietrich: So let me take the first question. The lime cost increases are the typical North America lime cost increases that we get each year. We absorb those lime cost increases in the fourth quarter, and then we're able to pass them through to North America customers the beginning of the first quarter. And that's a typical occurrence with our contracts. That's the first piece. Your second question was in terms of... 
Rosemarie Morbelli: Steel in China, obviously, it is growing there while it is contracting elsewhere in your traditional markets. And do you have a large presence? And is it easy to actually increase your presence in Asia for this and participate in that growth? 
Joseph Muscari: Actually, Rosemarie, we've actually had a position in China now since -- well, actually, for a number of years and that we made an investment in 2004. That investment has not really gotten us to where we were targeting from a growth standpoint. So we have good upside in terms of capacity, but we're actually -- we have been looking for a partner to help us with penetration inside of China. The conditions actually in China are not that good right now. I was just in China 2 weeks ago, I met with the CEO of Meishan Steel, who's also a Director of Baosteel. And China is in an overcapacity mode. And they're struggling with how to take cost out and get their capacity and their demand and supply more in balance. What I did come away from the meeting with them, and since they're a good account for us, is that they're -- because of the heavy emphasis now on cost reduction, it looks to me like there are some new opportunity potentials for us that we're going to try to follow up on quickly, and then that actually play to the notice that we talked about, our new SULB contract. But it's really a change in the business model to be a prime contractor to take care of all of the facilities' refractories, and they expressed a strong interest in exploring that with us. They like the concept and they indicated they were trying to figure out a way to consolidate their supply base and refractories down to one. So I think for us, it's much more of a rifle shoot in terms of some of the key accounts where we can, let's say, increase our share and presence, and they know who we are. So right now, I'm actually seeing some upside for us in China, but not due to the general overall demand level. 
Operator: [Operator Instructions] Your next question comes from the line of Steve Schwartz from First Analysis. 
Steven Schwartz: Guys, sorry, if you've answered this, I missed some of the call because of another conference call. But in Latin America, I think the majority of your satellites are in Brazil, and I'm just wondering what's specifically driving the improved profitability there? 
D. J. Monagle: The improvements in Latin America are a couple of items: One, productivities have certainly increased over last year; second, would be just operational spend, general operation spend is down versus last year. We had a number of equipment failures last year that did not reoccur, so -- but really, through the process of continuous improvement in productivities, that's really driving Latin America's [indiscernible]. 
Steven Schwartz: Okay. And when you say productivity, those are internal initiatives? 
D. J. Monagle: Yes, internal initiatives focused at improving production levels, tons per employee, tons per man-hour, et cetera, those types of efficiencies. 
Steven Schwartz: Okay. And then, Joe, if you could help us just reconcile the comments you made in the press release about FulFill, 4 additional agreements signed. If I just kind of look at your second quarter presentation to third, that FulFill progress chart, I don't see an equivalent number of increases on that chart in terms of revenue generation or what have you. And perhaps, said secondary, most importantly, can you just give us an idea of, at this point, what you're feeling for the annualized contribution from FulFill agreements? 
Joseph Muscari: Sure. I think that what -- maybe where there's a bit of confusion, in the last call, we had included in the chart, some of the announcements that had occurred, already occurred in the third quarter, in that first month of the third quarter. And what we were recapping this time around, I think we did it in the press release and I did it here in the remarks, is what actually came in during the third quarter. And so the chart, I guess I'm saying to look at the chart itself, that is accurate and we typically -- we announce when we sign a contract. So it just so happened that a number of the contracts were signed in that -- that would have been in the July timeframe. And that's where the difference is, Steve. It's really -- I mean it is 4 that came in during the quarter itself. In terms of the op income impact, as recall on the last call, I indicated that based on what we had and what we sort of had in hand and what we could see, we were looking at an op income impact of $2.5 million to $3 million next year on an annual basis. That -- let's get to the end of the year, see where we are, there's clearly upside in that. But right now, I'd say what I shared with you last time, it's pretty much reflective of the companies that we have contracts with, but clearly, we have more that are going to be coming on. So I think it could actually be a little more than that. As you know, I'm leery of giving out, as I mentioned in my remarks, this -- it's not a linear process and it takes time even when we have a contract. If a particular mill has 3 paper machines, that contract could sometimes only be on one machine and then we work our way to the other machines, and that takes some time to do. 
Steven Schwartz: Yes, certainly, we understand and it is nice to see the progress there. Just my final question. In the Sun Paper agreement, can you give us an idea of what the loading might be, maybe not specific with Sun, but in China and some of these new agreements that you're signing? And I guess with respect to Sun, I don't want to bog the call down with technicals, but that OPACARB is coating grade. Is that different from when it's coated versus -- does that change the concentration within the pulp? 
Joseph Muscari: I'm going to let D.J. Monagle, our technical expert in this area, answer that one for you. 
D. J. Monagle: Yes. So, Steve, a couple of things. Joe mentioned it's 100,000 tons and then Sun is not just an industry leader, but they're a market leader, so this is providing us some great momentum. OPACARB is a coating pigment, and as such, carries a higher price per ton with it. So this will be above our average revenue growth that's associated with 100,000 tons. And then you mentioned on, what does this mean for China for us? I just want to expand on that a little bit. Both Joe and Doug referred to some targets that we started setting out in 2010. Of course, everyone knows or we've been talking about our growth in India and the surrounding region, but we've also been getting ready to grow in China as we've been left out of that market for so long because of other obligations we had with APP. In the meantime, we've been shifting our resources, the engineering resources, the applications resources, marketing resources, to really take advantage of the opportunity that's in China for us as we did in India. So Sun Paper sets up a terrific growth for us, we believe, in China, we've got everything in position. This is a wholly-owned, so this is a 100% SMI venture that's in China, so we have a great opportunity to work with the government and establish our entities there. We're developing new relationships with lime suppliers. We've got a whole infrastructure that's going into place to be able to fabricate equipment better for China. So we're looking at this as something that's going to open up the door for considerable growth in China. Hope that provides some color for you. 
Joseph Muscari: Steve, I would add to what D.J. said. One of the things that Sun Paper does for us, we had, from a marketing standpoint, we believe that with that contract, if we're able to get them, which we now have, that would begin to attract other paper companies who we have been doing missionary work with. Well, we are now getting those other companies, they are calling us and they want to know more about what we've done, and that's leading to other proposals at the moment. 
Operator: [Operator Instructions] I would now like to turn the conference back over to Mr. Rick Honey for closing remarks. 
Rick Honey: We'd like to -- we really appreciate your interest in Minerals Technologies. And that concludes today's call. For those of you on the East Coast, New York, stay safe. 
Joseph Muscari: Thank you. 
Rick Honey: Thank you. Bye bye now. 
Operator: Thank you. That concludes today's conference call. You may now disconnect.